Stig Christiansen: Good morning, and welcome to Prosafe's Q4 2020 result and business update. If we turn quickly to Page 2, containing the disclaimer, you will note that, that is identical to what you have seen in past presentations. Go to Page 3 on the agenda. Stig Christiansen, CFO; and myself, Jesper Kragh Andresen, will alternate on the agenda items. Stig will shortly kick us off with an update on the financial situation, and I will take us through highlights for the quarter. Stig will take us through the financial results, and then I will round us off with a commercial update as well as a summary and outlook. So with that quick intro, I pass the word to Stig, turning us to Page 4 and an update on the financial situation. Stig?
Stig Christiansen: Thank you, Jesper, and good morning, everyone. As Jesper stated, we are on Slide 4, update on financial situation. As you know, we have been in the process with our lenders now for about a year, actually a little over than a year. Not surprisingly, these processes take a lot of time. There are many parties involved and there are many challenges to be solved. However, I think it's important to underscore from the company's point of view that our lenders are very constructive. And as such, I would also claim that the process, although lengthy and a test to our patience, has been and remain very constructive, which is the key point. Everyone is pulling in the same direction, and we're looking for a solution. And I would like to underscore as well that so far, contrary to many other processes, we are still aiming to achieve a so called consensual out-of-court solution, which will also, for the benefit of all, be certainly, although expensive, much less expensive than other processes would otherwise be. So we remain optimistic and keep focusing on that goal. We therefore hope as well that we, within not too long, speaking in relative terms, should be able to come back to the market and provide a further update and hopefully announce at least an agreement in principle with the vast majority of our lenders, such that we, and within not too long, hopefully, should be able to get everything wrapped up, and certainly, this spring. The result, it is, of course, too early to go into specific details on what the result will be, but it will, of course, lead to a whole different balance sheet, that's for sure. And therefore, a whole different basis upon which we can take the company forward towards new horizons to seek to protect and create value from a new basis. It is, however, important to underscore a key message that we have been repeatedly communicating to the market for some time that the solution we are looking at is anticipated to result in minimal or close to no recovery to the current shareholders of the company, which is unfortunate, but unfortunately the nature of the situation. And it will at least create a new basis for the company for the future. So I think with that, Jesper, I pass the word back to you.
Stig Christiansen: Yes. Thanks, Stig. And then I think we turn to Page 6. Important to start with the important backdrop of the financial situation before we delve into the details of the quarter. Looking at Page 6 of the highlights for the quarter. As you can see on the page, utilization for the quarter stands at only 25%. That is naturally a low utilization figure for any asset-heavy operator such as Prosafe. And you will know that there's some seasonality in our industry, where the 25% basically reflects the 2 vessels we have in operation in Brazil whereas the fleet is not in operation this time of year in the North Sea and hasn't been for 2020, as we have labeled that a lost year in other respects. Despite the low utilization and despite the lower average day rate we see, we are still able to report a marginally positive EBITDA for the quarter of USD 0.7 million due to good cost performance. The cash flow from operations was negative by USD 2.3 million in this off-season quarter. And I guess partly, also, a testament to the support we have from our lenders. We were, in the quarter, able to win and extend a few contracts. We have added 90 days plus 60 of work in 2022 at Ekofisk in Norway. We have extended the Safe Notos for about a year, meaning that, that runs until mid-November 2021 and only paused by an SPS in 2021, which is actually coming to an end as we are having this presentation. And additionally, we have 117 days of firm period followed by options in Trinidad, meaning a new geography, a new client for Prosafe. And we have ongoing tenders for '21 and '22, which I'll touch upon briefly when we get to the commercial update. Finally, total liquidity stands at USD 160 million at year-end. On that basis, I will pass over the word to Stig to take us to Slide 8 and a more in-depth look in the financial results. Stig?
Stig Christiansen: Thank you, Jesper. So then we'll move to Slide #8, income statement. And of course, to be honest, it's already pretty well covered by Jesper's presentation of the highlights. So I will just add a few comments, obvious ones. I mean fleet utilization, as was addressed, is marginally higher than the same quarter last year, but pretty much same level around mid-20s, i.e., low, primarily from vessels operating in Brazil. What is important to add, which is not on the slide I think, is that adding to the utilization, the average day rates in Q4 2020 is just over 40% lower than the average day rates in the same quarter in 2019. So that means, in our opinion, that at such low utilization and at day rates reflecting the situation in the market, still generating a small positive EBITDA is a strong point. And of course, it reflects good cost control and, to our opinion, very good cost performance across the board in the company, both for vessels in lay-up, vessels in operations and also when it comes to the onshore support organization. Other than that, the obvious point to remind is, of course, the drop in depreciation, simply coming as a consequence of the impairments done over the last 15 months that you are fully aware of. And of course, the activity level and the day rate levels leads to a negative bottom line result and, therefore, also a negative earning per share. But from an operational point of view, under the circumstances, we would claim that performance is good across the board, which is where we need to start. Moving on to the balance sheet on Slide #9. Again, I think, 2 main points. Number one -- 3 main points. Number one, it clearly reflects the consequences of the dramatic changes to our industry and the effects of the impairments that we have done over the last 15 months that you are fully aware of. The book equity is clearly significantly negative. But as you obviously know, we are working hard with our lenders to fix the balance sheet. And although it's too early to say how it will look like, it will clearly look very different from the one we are looking at the moment and, hopefully, within not too long. And I think the final point that already was alluded to by Jesper is, of course, in the meantime, the company is continuing to operate as normal with support from our lenders. We have sufficient liquidity and we are clearly open for business, also when you look at our contract situation for '21 and our -- how we behave in the marketplace, which Jesper will come back to. So I think with that, I will pass the word back to you, Jesper. Thank you.
Stig Christiansen: Thanks, Stig. Then I think we turn to the commercial update on Page 11. As you can see, it contains our standard contract backlog or our contract coverage overview. And as you can see, it's filling up nicely for 2021. We have previously expressed an ambition to have all our vessels, excluding the Scandinavia, working for shorter or longer durations in 2021. And I think we will expect that, that will be the case as well. There's a few ongoing tenders. The newbuilds will, of course, we expect that those will stay at the yard until further. But apart from the Scandinavia and the newbuilds, we expect all to be in operation in 2020. For 2020 -- sorry, for 2021. For 2022, we have the same ambition. Turning to the comments to the right. As I've already mentioned in the highlights, Concordia got a contract, new geography, new clients in Trinidad that we look forward to, 117 days plus options. Safe Notos was extended for about a year in Brazil. And Safe Eurus, as you know, is continuing its long-term contract. We can choose whether we use the Boreas or the Zephyrus to perform the work for ConocoPhillips in Norway in 2022. On the chart, the Zephyrus is indicated, but we have a choice in that respect. The Safe Zephyrus will shortly conduct or commence its contract with Shell in the U.K. at Shearwater. And Shell has exercised an option to pull forward the commencement date a bit earlier, so that should commence this month, February '21. Caledonia, will commence in -- has contract work for Total in the U.K. as well in March and has options to extend as illustrated on the slide. And then finally, the recycling process of Regalia is underway. We are, of course, retaining the useful spare parts and spare equipment that we can use. And the other final point to mention on the commercial status is that we are working on certain initiatives to strengthen our ESG profile. Currently, with the main focus on the E, emissions, equivalent to fuel consumption reductions. We'll get more back on that later. Turning to Page 12. You can see that we have, as we have predicted or expected during the year, a small positive uptick in our contract backlog, which stands at USD 144 million, as you can see. And with the ongoing tenders, I would not be surprised if that would tick up slightly in the coming months as well. Finally, turning to Page 14, a quick summary. Positive EBITDA despite low utilization and lower average day rates, as Stig has mentioned. We have added more to our backlog and awarded new contracts, showing the support we have from the lenders and the slight increase we see of activity in the market and the North Sea, in particular. We have ongoing tenders for both '21 and '22 that we are working on presently, and the liquidity remains at USD 160 million. And finally, on the outlook section, I think it's just a repeat of what we have stated previously. We are in an oversupplied industry, oversupplied both globally and on a regional basis, and that means that there's a road to a gradual improvement and balancing of our market. But that road will have to include a combination of scrapping of a number of vessels combined with consolidation, as we see many in our industry owns only 1 or 2 vessels, which is not efficient to operate. And therefore, consolidation will happen. And naturally, with Prosafe's position, we have an ambition to take part in that process. I think with that, that concludes the planned presentation, and I will turn it to Stig to see if we have any questions coming in online. Stig, any questions?
Stig Christiansen: So far, there are none, Jesper. I don't know if we should give it a few seconds to see if any e-mails are coming through.
Stig Christiansen: Sure.
Stig Christiansen: Okay. I think there is one question, Jesper, that I'll pass to you. And you'll find a way to address it. It's actually from -- we tend to say you ask the questions, so we'll do that as well. It's from [ Tristan ], one of our bankers and he's wondering if we can say something about -- general, of course, about commercials in the current environment, rate levels or margins, which of course we cannot be precise about. Do we have any general comment on that topic, Jesper, public activity versus commercials?
Stig Christiansen: Yes. As you know, yes, we don't disclose too many details on that, but just building on your previous comments, Stig, that the day rates have been reducing in the past quarter compared to previously. I think it's no secret that the auction processes we have seen in Brazil display a clear declining trend in the day rates. And the other observation from recent data points is just that despite the uptick we have seen in activity in the North Sea, we have not, on the latest awards, seen any positive development on day rates. And for Prosafe, of course, we -- the increased activity means that, for some time, we have realized that we do not have enough vessels to meet demand, and therefore -- however, we still expect that all vessels will be utilized and -- or will be in operation for longer or shorter of '21 and '22. And our focus, despite the fact that we would very much like to service all clients, including Equinor and [ NV Energy ], we're focused on optimizing our EBITDA. And I think that's -- we are confident that we are able to do that both in '21 and '22 and the current environment. So we don't see any positive development despite increasing activity, and we see a clear declining trend in Brazil. I think that's the short answer to that.
Stig Christiansen: Yes. And I think there are no further questions, Jesper. And given that a couple of minutes are now passed while you have commented on that point, I believe we can start to round off, Jesper.
Stig Christiansen: Yes. Yes, thanks a lot for also attending, and thanks for the good question to [ Tristan ]. Okay. All, have a nice day.
Stig Christiansen: Bye-bye.